Operator: Hello, and welcome to the MNTN Inc. Fourth Quarter and Full Year 2025 Results Conference Call. After today's prepared remarks, we will host a question and answer session. If you would like to ask a question, please raise your hand. If you have dialed in to today's call, please press 9 to raise your hand and 6 to unmute. We will now hand the conference over to Brinlea Johnson. Please go ahead.
Brinlea Johnson: Good afternoon. Thank you for joining us for MNTN Inc.'s fourth quarter and full year 2025 earnings call. With me today is Mark Douglas, CEO, and Patrick Pohlen, CFO. Just to remind everyone, today's call includes forward-looking statements that are subject to risks and uncertainties, and actual results could materially differ from those anticipated in these forward-looking statements. For the risks and uncertainties that may affect future results, please see our most recently filed periodic report, which is also available on our website. We will also discuss non-GAAP financial measures on today's call. Reconciliations of these measures are available in our earnings material on our website. With that, I'll turn the call over to Mark. Please go ahead.
Mark Douglas: Thank you for joining us today. We reported strong financial results delivering fourth quarter revenue growth of 36% year over year and 36% for the full year. We also reported very solid adjusted EBITDA growth as well as record positive net income. Before we get into the numbers, I want to take a step back and talk about MNTN Inc.'s unique value proposition and why we are well positioned for a long runway of durable growth. I founded MNTN Inc. with the mission to democratize television advertising. For decades, the TV industry was dominated by large global brands with big budgets, big ad agencies, and campaigns built to drive brand awareness. That's not our market. We don't operate in the open web or retail media. MNTN Inc. is a true pure play connected TV company. Our customers are emerging e-commerce companies and category leaders. They have efficient marketing teams who deploy their budgets wisely while expanding into Connected TV on their journey to winning new customers. And the reason for them to expand into Connected TV is it expands their revenue by marketing with the most exciting content in the world. Everything from the best reality shows on Bravo, dramas on HBO Max, to live sports. They're interested exclusively in using their ads to drive incremental revenue by reaching specific consumers. This is the true definition of performance marketing applied to the largest storytelling streaming television. While performance is a new concept for television, it's not new to advertising. Performance advertising helped build the e-commerce industry, giving companies the ability to target users and run ads that convert into traffic, making it possible for emerging brands to compete with established giants. That's exactly what MNTN Inc. is bringing to streaming TV. Our technology enables advertisers to target users with the same types of signals that the big search and social companies use to target their users, only we enable our clients to launch ad campaigns on hundreds of premium streaming TV networks like Paramount Plus, Disney, and ESPN. This is a monumental shift for television advertising, transforming TV from a branding medium to a true performance channel. MNTN Inc. created a completely new market that we are uniquely positioned to dominate. The intersection of streaming television and performance marketing is huge and growing every day. As more consumers move to streaming TV, and as a result, brands follow them there. MNTN Inc. campaigns generated over $18 billion in revenue for our customers in 2025, and every aspect of our platform is built to expand the reach and revenue of our customers efficiently and with measurable results. Ease of use is core to our strategy. From cost-efficient customer acquisition to our easy sign-up and measurable results, our platform is built exclusively for small and mid-sized businesses. MNTN Inc. advertisers can launch, manage, and optimize campaigns entirely on their own in our self-service platform. While they can also use an agency, they don't have to. And the agencies they do use are nimble performance marketing agencies that are experts at search and social marketing and are now also experts at performance TV advertising. Everything is automated from targeting to optimization, bringing digital marketing precision and accountability to streaming TV. As part of that automation, AI plays an ever-expanding role. MNTN Inc. was the first company to provide AI consumer targeting for CTV when we launched MNTN Match. We were the first because half of MNTN Inc.'s team is engineers, and small and mid-sized customers need precision targeting with the best technology to identify their next customer. We were the first company in CTV to take on the challenge of creating TV commercials because more than 95% of our customers don't have one when launching their first campaign. And now we have creative AI tools with Quick Frame AI. Stay tuned as we continue to launch exciting new AI tools through 2026. We're leveraging AI tech to make every aspect of our product and business the best it can be for our customers and drive even more compelling results in helping them grow their revenue. Being everything the SMB market needs is our mission. We aren't taking an enterprise-grade product and simplifying it for SMB users. That never works. You can see it in any market. The company that builds for the SMB market segment always wins, Shopify being one of the prime examples. Even our marketing is specifically designed for SMBs, which is why we're able to get LTV CAC ratios that are handily in the double digits on the majority of our mid-market customers. There are other companies that enable connected TV advertising, and some of them are huge companies. But those companies are focused on a different area of the connected TV world than we are. Their tech stacks were designed to maximize what their brand-focused customers need, and that's reach and frequency. Remember, the biggest TV advertisers in the world, the ones that our competitors have focused on, are brand advertisers. They're looking to maximize eyeballs, views, and impressions. They want to get those views at the lowest cost. This is very different from what MNTN Inc. does because our customers want performance. They want incremental sales and a high return on their advertising spend. They're actually willing and interested to pay a higher price for an ad slot if it means that ad will convert to incremental sales. Instead of seeking to maximize the number of impressions at the lowest cost, MNTN Inc. surgically targets the right audience to drive conversions. I like to say that MNTN Inc. customers aren't buying ads. They're buying incremental revenue. Think about it. Huge companies like Verizon and Coca-Cola want to drive impressions so you know who they are and remember them when you go purchase. They want to reach every American over and over again, so they're buying ad slots in bulk and want the lowest price per impression. On the other hand, a snowboard brand that wants to drive more revenue isn't interested in reaching every consumer at the lowest cost. They're interested in reaching the right consumers, the ones who are most likely to buy their product today. That brand is willing to spend to acquire these customers as long as the incremental revenue outweighs the cost of the ads. They're looking for a return on their ad spend, and MNTN Inc. is uniquely built to deliver on CTV. That's also why the over 200 networks we work with love us. We're bringing them companies that have never advertised on TV before. More than 95% of MNTN Inc. customers launched their first TV commercial on our platform. We aren't just moving brand dollars from one network to another. We're actually increasing the pie. The bottom line is that the market for connected TV advertising is huge, and there will be a place for both brand advertisers and performance advertisers and for large advertisers and for small. MNTN Inc. is the leader in the SMB market and will remain the leader because we wrap our entire solution into an easy-to-use package. Everything from our marketing to our tech stack is purpose-built for these smaller companies, and we're leading the way with continued innovation. Wrapping up, we're executing against a massive opportunity transforming TV into a measurable performance-driven advertising channel. We've got many exciting vectors for growth from moving further down market to integrating AI to even more premium content and many more. All while continuing to sharpen our platform and our measurement tools to be exceptionally easy for anyone to use. Remember, MNTN Inc. enables marketers of any size to press the easy button to get their ads on TV quickly to drive incremental revenue. With strong customer growth, expanding margins, and continued innovation across our platform, MNTN Inc. is well positioned for sustained profitable growth. We're successfully building the next generation of performance marketing on streaming TV. Now I'll turn it over to Patrick to discuss fourth quarter and full year 2025 results in more detail. Thank you, Mark.
Patrick Pohlen: We reported strong fourth quarter results exceeding our prior revenue and adjusted EBITDA guidance. We closed out a very strong 2025. Our solid performance reflects continued customer adoption of performance TV, particularly by small and midsized companies, that had not previously advertised on television. Our fourth quarter revenue increased to $87.1 million, up 36% year over year after adjusting for the divestiture of Maxim Effort on 04/01/2025. To note, we again included a table in our press release and also in our investor presentation that breaks out our revenue growth and gross margin over the past several quarters both including and excluding the prior year's contribution from Maxim Effort. On a 2025 full year basis, revenue increased to $290.1 million. When adjusting for the divestiture of Maxim Effort, revenue growth was 36%. Fourth quarter gross margins improved to 82%, up 530 basis points. Our core PTV business improved over 300 basis points with the balance coming from the impact of the Maxim Effort divestiture. For the full year, our reported gross margins increased to 77%, up 560 basis points year over year with our core PTV business improving over 300 basis points and the balance coming from the impact of the divestiture. We had 3,632 active PTV customers when measured over the trailing twelve months. On a year over year basis, this represents growth of 63%. Recently, we've made inroads moving down market into the SMB market opportunity which we believe is a testament to the strength of our platform and to its applicability across companies of all sizes with performance marketing budgets. It's worth noting that the number of active PTV customers we bring into the platform is entirely within our control, and is predominantly a function of how firmly we step on the accelerator to move down market. Our intent is to regularly evaluate and adjust our efforts to ensure that we are onboarding clients that have strong product market fit and a likelihood of success on our platform. Our expansion rate, which measures the spend of our current customers as compared to those same customers' spend a year earlier, is quite healthy and remains well north of 115%. Demonstrating that when our customers achieve their desired returns on advertising spend, they continue to increase their budgets with us. Total operating expenses for the fourth quarter were $50.9 million and were $200 million on a full year basis. During the fourth quarter, we added a number of people in sales and marketing and their expenses factored into our fiscal year 2026 guidance. For the fourth quarter, we achieved positive net income of $34.5 million for a GAAP EPS of 47¢. On a full year basis, we reported a net loss of $6.4 million or GAAP loss per share of 13¢. Primarily due to a one-time charge of $23 million as a result of our initial public offering and settlement of our convertible notes in the first half of the year. Adjusted EBITDA increased to $28.1 million, up from $20.7 million in 2024, an increase of 36%. The company's adjusted EBITDA margin grew to 32.3% compared to 29.6% in 2024. For the full year, adjusted EBITDA was $68 million up from $38.8 million in fiscal year 2024. The full year adjusted EBITDA margin grew to 23.4% compared to 17.2% in 2024. The improvement was driven by increased revenue and gross margin expansion, and demonstrates the leverage inherent in our model. As you saw with our investments during Q4, we will continue to invest strategically in sales and marketing as well as technology and development to support future revenue growth while remaining focused on delivering operating leverage. Our balance sheet remains strong, and we ended the quarter with $210 million in cash and cash equivalents. With no borrowings outstanding. We ended the quarter with 73.9 million shares outstanding, and looking ahead, we remain confident in our momentum and the underlying health of our business. For Q1 2026, which is typically a seasonally slower quarter for us, we expect revenue in the range of $71.3 million and $73.3 million representing 22.3% year over year growth at the midpoint of $72.3 million when normalizing for the effect of the divestiture of Maxim Effort. We expect adjusted EBITDA to be between $13 million and $14 million reflecting continued leverage as we scale the business while continuing to remain disciplined in our investments and adding sales resources as I previously noted. For the full year 2026, we expect revenue in the range of $345 million and $355 million representing 22.9% year over year growth at the midpoint of $350 million when normalizing for the effect of the divestiture of Maxim Effort. We expect adjusted EBITDA to be between $94.6 million and $99.6 million. To wrap up, we delivered another strong quarter and believe MNTN Inc. will continue to gain market share in the massive performance television market. We are confident that our future growth initiatives and the strength of our operating model will position MNTN Inc. to drive continued growth and profitability. And with that, we'll open the line for questions.
Operator: We will now begin the question and answer session. Please limit yourself to one question and one follow-up. If you would like to ask a question, please raise your hand. If you have dialed in to today's call, please press 9 to raise your hand and 6 to unmute. And your first question comes from Shyam Patil with Susquehanna. Your line is open. Please go ahead.
Shyam Patil: Hey, guys. Great quarter. Great year. I just had one question. You know, very strong growth at 36% year over year. Ex max effort. Mark, can you just talk a little bit about how you plan to continue to drive this type of growth and just the opportunities that you're the most excited about going forward?
Mark Douglas: Absolutely. Thanks for the question. So I think the first thing is the market we're in, performance CTV, the market we created. That continues to be the primary focus of the company as growing into that opportunity with continued focus on sales, marketing, product initiatives that drive performance. And so that's the core of what we're focused on. But with that, we have a number of other initiatives that we've initiated. The continued move down market towards smaller and smaller businesses is something that's very important to us. The AI initiatives, in particular, what we did with Quick Frame AI, in order to enable customers to get live fast. So we have within the first month of releasing that, we already have 5,000 people on product and more have followed. And so that enables customers to basically get live a lot faster because the majority of the time it took them was actually developing the TV commercials, do so at a lower cost. And have more creative. And then we have other AI initiatives that all primarily geared towards driving greater performance. And giving our customers even more visibility into how our platform operates and the controls that they want. So all of those combined is what our focus is for 2026, and we're very excited about the year.
Operator: And your next question comes from Andrew Boone with Citizens. Your line is open. Please go ahead.
Andrew Boone: Great. Thank you so much for taking the questions. Wanted to ask on C Dance. Of kind of the new generative text to video models that's out there. Mark, can you just talk about the inflection point that we seem to be at in terms of technology and the enablement of AI for video? Does that either mean from a competitive context or what's it mean in terms of internal capabilities that are now being unlocked? And then, Patrick, if I look at the '26 EBITDA guide, it's another year of solid margin expansion. Is there any help you can provide? Understood the sales and marketing investments, or am I misinterpreting that if I think about where expenses are going to be for '26? Thanks so much.
Mark Douglas: I will address the question about QuickFrame and kind of models. So we're integrated with a number of different generative AI models for both video and audio. So that includes some of the obvious ones like Gemini from Google, Sora two from OpenAI. But there are numerous nano banana also from Google. But there are numerous models, and each of them tends to be better at something different. So if our customers want, like, a video that emphasizes product, we might use the tool automatically will select a different model for that scene of the video with the product in it, or people talking, or voice over. So depending on the use cases for the commercial itself, that's being generated, we pick automatically. We orchestrate the models to use. And honestly, there are new releases of models. It feels like every week. Sometimes it feels like every day. And we have a team on Quick Frame dedicated to integrating those models and then updating the orchestration software, which itself is an AI model, in order to pick what to use for each various scene. Or even multiple models in a different scene. Our competitive advantage there, we're focused on a professional use case. So you can use Sora two to remix a video, put it on your social account. That's not what we're focused on. We're focused on full thirty-second professionally created built creative with workflows, use cases, approval cycles, and all the things you'd have for, you know, human-created video. But now for AI video. So I think that gives us a pretty strong reason for having the tool. As well as a pretty strong, staked out area in terms of how it's in the segment of market that we're going after. And ultimately, again, this is also our customers can get live faster with the most professional creative they can build. And we ourselves, MNTN Inc., we are now using those tools and putting out, at least one AI video a week for our own advertising this week to, I think last week too this week three. So we're using these tools ourselves in our own marketing.
Patrick Pohlen: Andrew, to the question you asked me, we are going to continue to invest in sales and marketing and technology and development to drive more revenue growth. As you know, we have a very strong financial model, so more revenue growth leads to higher gross margin. Gross margin keeping must more of that and having a higher gross margin allows us to continue to invest. In sales and marketing and technology and development and still be profitable on the bottom line.
Operator: And your next question comes from Andrew Marok with Raymond James. Your line is open. Please go ahead.
Andrew Marok: Great. Thanks for taking my question. And, you know, I think this is a question that we've asked before, and it's kind of recurring. But around the industry, we hear more and more from other companies about adding performance characteristics to TV advertising, creating entry points to targeting smaller businesses, I guess as some of these offerings have spent a little bit more time in the market and presumably have some level of sales or awareness building efforts behind them have you seen them affect the way that your customers are behaving at all or some of the pitches that you're having to them?
Mark Douglas: Well, so one, we respect all competition and we take it very seriously. And both, you know, larger companies as well as smaller companies, generally, the space we're in is very large. I don't think a lot of companies are running into each other at this point. We're focused on providing the most complete platform that is easiest for our customers to adopt and use. And we have a long lead, like a big lead on doing that, and we feel very confident and comfortable where we sit in terms of our customers adopting. Also, what's very important is the literal performance that's delivered out of our platform. That relies on a history of data, initially machine learning models, now AI models. And so the actual performance that investment in that technology is why half the company is half of MNTN Inc. is engineers is because it's not just about having a user interface, to address SMB, it's about having the core technology that allows you to pinpoint, almost sharpshoot, those specific consumers for a brand. Yeah. And I've talked in the past about a brand like Onewheel where it's, you know, extreme sports, very specific type of consumer. How do you identify them? So it's technology and data enables us to do that. And then campaign management, AI tools so you can build a lot of creative which also contributes to performance and, of course, all the attribution. So we think we have a very complete platform, first to market, you know, most feature complete and, we believe, the best performance in the industry.
Andrew Marok: Got it. Thank you. And if I could maybe sneak one more in on the Magnite partnership. How impactful for that how impactful for you do you think that can be here in the near term or maybe over the longer term? And can you dig a little bit deeper into the new inventory you'll have access to? Like, maybe on which platforms or which segments of Magnite you're specifically accessing? Thank you. Yeah. Absolutely. I mean, we're very bullish on that partner.
Mark Douglas: We have a really good relationship with Magnite. And specifically, when we announced it, we were talking about paused ads. But there's also live sports and other very premium content that we've introduced both through our direct partnerships with the media companies with all of whom we have direct partnerships with. But also through Magnite. And so this is all part of often the another thing that can contribute to performance is the best content, the content that consumers most are most engaged in is also the content that most gonna pay attention to. So we see that as a really strong partnership and, company that we've had a long relationship with, but we've expanded that partnership in this area. And we're very excited about where it's leading.
Operator: Your next question comes from Robert Sanderson with Loop Capital. Your line is open. Please go ahead.
Robert Sanderson: Yes. Thank you. Thanks, everybody. Good evening. Thanks for taking my questions. I've got one for Mark and one for Patrick. Maybe, Mark, can we talk about attribution measurement? Like, what makes verified visits the best attribution in CTV? You know, what else are you doing to further strengthen this? And then what are the challenges in educating performance marketers? Like, there seems to be a perception out there that attribution measurement is inherently weak on connected TV, and I'm sure you'll say otherwise. But, know, how do you educate the industry? And then I'll follow-up Patrick in a second.
Mark Douglas: Cool. So addressing attribution, this is something that we took on, I think, first in the CTV industry that if you want an SMB market to invest in CTV, you have to provide them a way to measure that target and measure the effectiveness of that. And so with verified visits, we essentially have multiple data integration partnerships in order to have as many signals as possible in order to measure, you know, not who has responded to which ads and which campaigns. And so we also have an identity graph that is virtually every household in The United States. And every interaction, every tracking pixel call, every bid request, all of the underlying technology at scale are contributing to identity graph. Which then contributes to the attribution. In regards to, like, how people feel about it, so in CTV, there is no click on an ad. You can even if you're watching on your phone, the you and let's say the Disney app, you're not generally allowed to click on the ads. So we do what's called cross-device measurement. Meaning, the first device is the device you're watching TV on, which is generally a television in your living room, bedroom, family room. And the second, third devices are your phone, tablet, computer. We connect those dots through our identity graph and then we report that data to our customers, and then we send that data out to, I think, approximately 11 other attribution platforms. So our customers not only get data from MNTN Inc., they get it from third-party mixed modeling tools, from multi-touch attribution tools, from Google Analytics. So they have a range of sources in order to look at performance for MNTN Inc. and also look at it in comparison to wherever else is spending money search. Social, or any other channels that they're engaged with for their marketing.
Robert Sanderson: Okay. Great. Thank you. Patrick, a couple of cost questions. Gross margin year over year looks like 300 basis points after the consolidation of MAX effort. I know you had some infrastructure alignment projects. Like, did these go better than plan? Are there other drivers worth calling out? And you're already above the high end of your long-term target. So just wondering if, you know, we're kinda getting at the top end here, or do you anticipate, you know, there's further room? And then on the sales and marketing hires, thanks for all the color. That's helpful. But I assume the SDRs are not really focused on the long tail of small advertisers. Maybe that's wrong, but you know, they're more focused on growing the middle, more agencies, more b to b. You know, you just sort of maybe give us a little bit of color. If there's a little bit of change of focus, because of these hires. It seems like there might be.
Patrick Pohlen: So I'll answer the last one first, Rob, mostly because it's right in my head. And that is the SDRs are focused on the SMB market. So they're going after both midsize customers, as well as small customers. And all of them are driving demos. Because demo is the first step to getting a trial, and trial is the first step to getting a post-trial customer. So there's no change in focus by hiring SDRs and just what's interesting is, ironically, with the 53 hires, we are flat in headcount in sales and marketing from the '24 to the '25. So we were getting a lot of efficiency, we decided we wanted to drive more revenue growth. With these 53 hires. What was the first part?
Robert Sanderson: Gross margin.
Patrick Pohlen: Yeah. So gross margin, so it actually ties into the second part of your question, which is we want to drive more revenue. More revenue drives gross margin increases with nothing else. But as you all know, we've done a lot. So the first thing is we spun out Maxim Effort. That had a very significant impact on gross margin. The second thing is we switched hosting providers. That cutover was at the October. So we haven't really seen the full impact of that reduction in the hosted environment cost. And we have a number of other initiatives. So I think that for the year, finished at 77. And I believe that we will be firmly in that range going forward. The 82 for the quarter you know, is just a we aspire to just have it be in the long-term range of 75 to 80.
Robert Sanderson: Okay. Thank you, Patrick.
Operator: And your next question comes from Laura Martin with Needham. Your line is open. Please go ahead.
Laura Martin: Sure. Great. The first one I wanted to follow-up on an earlier question, which is what you talked about inventory, in the letter. How much of that is coming from actually your direct deals with, your suppliers CTV suppliers, and how much is coming from sort of third parties like your Magnite deal. My first question.
Mark Douglas: Yeah. So both are involved. So we through our direct deals, we've worked we worked directly with the networks, generally on availability, what type of inventory, pricing, and things like that. But the inventory still comes to us through a programmatic which is what we want. We want to be able to pinpoint the specific ad impressions for the specific users we want to buy. And that involves running a programmatic auction. And so the SSE the Magnites, others, they run those auctions on behalf of that network. So in all cases, we have a direct deal with the publisher, the media company, the streaming TV network. But Magnite or you know, and others in the industry are still involved in the, like, the pipe the pipes that pipe that those impressions to MNTN Inc. We don't have and I think a part of your question, Laura, is we're not buying from Magnite. In all cases, we're buying from the network. Magnite is a technology partner. Not a financial partner in that sense.
Laura Martin: Okay. Perfect. And then my other one's for Patrick. Looking down the cost structure, when I think about margins, either operating income margins or EBITDA margins, we're projecting now a very nice, given your guidance, increase in margins. My question is peak margins. When you think about growing revenue over time, where do you think peak margins are, either however you think about it, operating income margins or EBITDA margins for this business at maturity? Please?
Patrick Pohlen: Sure. Our long-term target, Laura, for gross margin, 75 to 80%. And our long-term target on adjusted EBITDA margin is 35 to 40%.
Laura Martin: Okay. Great. So we still have some ways to go. Okay. That's those are my two questions. Thank you very much.
Operator: And our last question comes from Matthew Cost with CG. Your line is open. Please go ahead.
Matthew Cost: Hi, guys. Thanks for squeezing me in here. Mark, you touched on pause ads earlier. I just wanted to ask about these ad units. How do the how does the performance and cost compare to in-stream ads? And is there a chance for you guys to sort of work with some of the other publisher partners to bring these ad units to those platforms, know, basically off of Magnite inventory.
Mark Douglas: So for paused ads, it's a new ad unit. It's one that the industry and a lot of our customers are very excited about. And for anyone listening, it's when what a pause ad is is when you are watching TV and you pause for any reason, like, you know, to grab a drink or for whatever reason is, take it basically pause it. It puts an ad up on the screen, be during the time the programming is paused. And it could sit there for a while, so it's very noticeable. It's full screen. On your television, on the wall, wherever you pause. And so people are pretty excited about it. I think in terms of the performance of it, the jury is still a little bit out. We've been measuring it for Q4. We introduced we're not yet sure mainly because the it in Q4, and it continues in Q1. Volume is still not quite as high as we want to really fully form a judgment, but it's fully what customers want. So I think in terms of that judgment companies like it. They intuitively think it looks good, and can perform well. So it's going really well there. And, you know, we see a lot more demand for it. And there are a lot of new ad units coming out. I think the TV industry is really or the streaming TV industry is really innovating right now in terms of how to capture consumer attention, not just with the thirty-second commercial, but captured in other ways. And you know, we're really excited about it for that. And the I think this year is really a year of live sports. We're excited about that. And just anything that the networks want. I'll finish by saying one thing that's really interesting about MNTN Inc. is that our customers trust us to put their brand on television wherever it's going to perform the best. So a lot of streaming networks increasingly come to us first, because we can place those ad units across thousands of brands essentially literally overnight or even faster. And as opposed to them having to go to very large brands and have to negotiate that one brand at a time. So we're increasingly seeing the ad units kind of the innovation in the industry as early as it becomes available. We're really excited about that. It's another value add for our customers that we provide just intuitively as part of working on our platform.
Matthew Cost: Thank you. That was very helpful.
Operator: There are no further questions at this time. We will now turn the call back to management for closing remarks.
Mark Douglas: I'd like to say that we're, you know, very excited about 2026. I've talked numerous times on this call about how what percentage of the company is engineering. So we have a lot we're focused on in terms of product, the continued growth of the CTV market, in particular, the performance TV segment, and I appreciate everyone's time in listening and participating in this call.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.